Operator: Hello, ladies and gentlemen, and welcome to today’s AXA Nine Months Activities Indicator Conference Call. Throughout this call, all participants will be in listen only mode and after there will be a question-and-answer session. Just to remind you, this conference call is being recorded. And today I’m pleased to present Andrew Wallace-Barnett, Head of IR. Andrew, please go ahead.
Andrew Wallace-Barnett: Thank you very much, and good morning everyone, and welcome to the AXA conference call for our activity indictors for the nine months of 2017. Gerald Harlin, would like to give you a quick overview of the main figures included in the press release which we issued yesterday evening and which you can find and -- no doubt, already found on our website. Following that, we’ll open the floor to questions and answers. Gerald, I hand over to you.
Gerald Harlin: Hello, good morning to you all and thank you, Andrew. Let me begin by giving you an overview of the main figures for the nine months of this year before moving to the Q&A. Overall, as you have seen in our press release, we recorded strong growth in our preferred segments. First, Health revenues were up 6%. Second, P&C Commercial lines revenue up 2%. And third, Unit-Linked APE was up 9%. In Asset Management, we saw net inflows of $8 billion with revenues increasing by 7%. Now, moving on to specific business lines. Starting first with Life & Savings, APE growth was plus 1%, driven by continued growth in our preferred segments offset by a reduction in G/A Savings sales. Unit-Linked APE grew by 9%, reflecting strong business sales in France, up 25% Singapore and in the U.S. Protection & Health APE grew over the nine months, with higher sales in France, China and the U.S. partly offset by the non-repeat of large group protection contract in Switzerland. Growth in this preferred segment was offset by reduced sales in G/A Savings. A continuation of some of the specific situations were highlighted in the first half namely in Hong Kong and Japan where we face specific market and regulatory challenges and at AXA MPS in Italy where we expect some gradual improvement over time as the situation normalizes. In Southeast Asia, India and China, we saw strong positive growth in APE across most countries in the region in the third quarter. We had a particularly encouraging third quarter in China with an increase in Protection & Health sales and a reduction in General Accounts new business, resulting in an NBV margin of 31% over the nine months versus 25 for the first half. NBV margin remains high across the board at 30%. Life & Savings new flows were at plus €3 billion we saw net inflows in Protection & Health at €1.2 billion and in General Account capital light at plus €1.3 billion, partly offset by new outflows at minus €4.4 billion in traditional General Account in line with our strategy. In P&C -- let’s move to P&C now. In P&C, revenues were up 1%, driven by growth in commercial lines, up 2% from both volume and price increases excluding Turkey where revenues continue to be affected by the pricing configuration. P&C revenues grew by plus 2%. In mature market increases increased by 2% driven by positive price effect and higher volumes in most countries, most notably in UK and Ireland and in AXA Corporate Solutions and higher volumes in Italy. In the emerging markets, revenues were up 5% excluding Turkey, mainly driven by Mexico and Brazil. It is also to be noted that the non-mature business grew by 3% during the nine month. As I mentioned earlier, asset management business net inflows to plus €9 billion plus €8 billion or €11 billion excluding AXA IM Asian JVs during the first nine months mostly from the retention, revenues increased by plus 7% due to combination of both higher average assets under management as well as increasing margins resulting from an improved business mix towards retail business. Our Solvency II ratio was at 201% stable versus is H1 17 as the operating return net of estimated accrued dividend was offset by a FX impact. Overall, I would say the nine month number reflect continued good performance in our preferred segments inline is our Ambition 2020 strategy. I'm now happy to answer your questions.
Operator: [Operator Instructions] We'll go first over to the line of Peter Eliot at Kepler Cheuvreux. Please go ahead.
Peter Eliot: Three questions please. First of all I will be very interested to have the initial experience you got with Citi and anything you saw about take up or anything else there? Secondly on the GA flows, I mean the GA outflows looks me, the large driver there is less capitalize inflows and I'm just wondering if you could comment on that, there were just being any change of strategy there to. And thirdly on the solvency ratio, I mean the effects I was surprised by the negative impact from the FX, I was wondering if you could explain that a little bit what's happening there? Thank you so much.
Thomas Buberl: Okay, so let's start first with fizzy. I believe that fizzy has been launched quite recently. We first -- you know that the first experience versus demand the North America flight, and we could say that its welcome, its more welcome because know the confirmation of our innovation capacity also for the business, it would be small volumes, and that is concerns our capacity to launch some quite innovative products. And the second step we will expand fizzy to airline groups. And about the G/A savings, we could say that we have higher -- indeed we have higher outflows. On the capital AV we have outflows of 4.4 billion in the first nine months that was minus 3.7 in '16, which is indeed in line with our strategy and we could say at the same time that following the tax priority in Belgium we had some further outflows. But again you see from the fact that it's quite normal that we stopped selling products on capital, we almost stopped not totally, but we almost stopped in the main country, the capital heavy sales and indeed what we did is that we sold more capital light. So we have capital light of 1.3 billion in the first nine months, but we should -- and it was 2.7 billion one year ago. So you're right, it declined. But why? It declined only because we have Italy, you know that at MPS -- with MPS, with our JV with the MPS. Most of our products were capital light and in the first half due to the turmoil of the bank, we had lower sales. But I can tell you that and you will notice that in the first half in Italy life we were at minus 15 in time for deal we had minus 11 after nine months. So very good gradual improvement and now that the status you know with maturity -- capital owner people are back and clients are back, and we should benefit gradually from this improvement. So we're quite hopeful that it is important JV for us, as you know we have an exclusivity agreement with them, and 10 years, it's still 10 years and which is quite important. And we probably hope that and expect that next year it will be -- it could be far better but for this year we still suffer from this poor up first half experience. So, the solvency ratio that was your third question, what I could tell you and maybe for sure we have negated the fixed effect but many people don't take into account that in the natural growth of the ratio, we have management case expectation, management case assumptions which are neat, which means that the when you take into account the ratio. We have the organic growth which as we said represent 15% to 20%, and this operational performance was 15% to 20% integrates already some management case assumptions in terms of interest, in terms of equity and so on, which means that the positive impact or the negative impact. The positive impact is coming only when the markets outperform, the management case, which was not the case in the first half, explaining that we had negative coming from the FX which made that in the end. We didn't compare, we discussed that, where we are June 1st. We're stable because we've the plus and the negative.
Operator: We are now over to Credit Suisse of Farooq Hanif. Please go ahead.
Farooq Hanif: Your EBIT and profit growth has probably stop growing, could you please talk about sort of the inflection points that you may have in 2018 that could change that? You mentioned some of them already but could you have so that's how concerned you are about this and what you think might change? Secondly on the growth in PMC your commercial non-nota volumes I thought it's grow considerably have you mentioned the UK and corporate solutions could you give us a bit more detail about what you are writing and getting mortar basis by mortar is this a more profitable business mix for you? Thank you.
Gerald Harlin: On the new business profit if I well understood and I'm sorry because your line was quite through, but the new business what is improvement that we're expected for next year. I would say that we're expecting that the headwind that we have this year won't product next year and we should benefit -- we mentioned that Hong-Kong, I can expect that Hong-Kong will improve, remembers that in Hong-Kong we said that we believe by the fact that we decide to withdraw a product, which was there is a long profitability, it was in the full last year. So we will introduce new product bringing up next year that would be a brand new product. So we should benefit from this and we should improve our new business. Maybe we thing that across Asia in fact the third quarter, we may think may that in Asia, we got minus 2 in the first half and we are moving to plus 1 for the nine months, meaning's that the third quarter was better and we have done improvement in this tough quarter across the board. So that's for Asia, in Switzerland, I don't expect to have this negative impact, you remember that we have large contract in the first half of 2016, and meaning that we had the headwind to change that we've got minus 12. So this should improve as well, at the same time Italy I mentioned Italy, but Italy will improve. I'm absolutely convinced that we will improve. And that's mostly that we could expect also with the new product being launched specially in Health and improvement in Japan. Beyond this, you may see that we have the very strong first nine months in France and in the U.S. The U.S., it's reflection of quarters and than for the first half because we had the dull impact. In line, I would tell you the market, but nevertheless we remain at a quite strong market level. I should add that that in countries like in the U.S. and in France, we sell a lot of absolutely products, which are quite diversified. In France, I mentioned in my introductions that we increased Unit-Liked by 25%. This increase is not due only to equity products, but we are launching the very attractive real estate product like Selectiv' Immo. So globally speaking that's what I can say and we can hope that next year we'll be should be there on that side. Your second question as I hope about the commercial lines. Yes indeed we have the commercial lines which we posted to the currency of nine months. Which is in line with which is lower hat slightly lower than Ambition 2020 target at the same time. If we exclude the negative impact but you come through line this some metal. And we should at been at 3% which is quite good. And we have growth in Europe we have strong growth good growth I would say at 3%. Notably in England and Ireland held, and also Italy and Germany. So as a whole we are fairly and that's what your remark, we are feeling quite profitable non-motor commercial lines which grew at 3% and this quarter seems liability and as you look at that commodity product pretty often below that our preferred segment is a SME business and on this SME business we can sell different products which are not only commodity type products like motor. And we have quite strong profitability with excellent combine ratio, that's what I can tell you. So keep in mind that our strategy and that's why we say that our commission on hedging and market was one-off our priority segment why because pretty often we are selling the entire region's networks who are quite good at cross selling and up-selling.
Operator: We are now over to Paul De'Ath with RBC. Please go ahead. Your line is now open.
Paul De'Ath: Firstly, on the P&C business. And looking at the price effect and movements and is there half year looks like the number of countries I think a slight slowdown in the positive price movements. And you have said that there is an element of market softening came on. What was there any kind of change in your approach to pricing? That's the first. And then the second one going back to the fully product and interested to know I mean how automated is that is the product and the product delivery as listing automated and therefore where do you need any people to manage it. And then regarding to that, I guess what are the applications do you see for that kind of products in the future I mean is the risk at a similar cycle of the product? And I think looking at something crop insurance for example. And just be interested to hear your thought as to what else this kind of process could be apply to. Thanks.
Gerald Harlin: Okay. What I can tell you is that maybe -- if I start with personal line, in the first half and I start with your first question on P&C. In personal lines, the price effect in the first step was 2.7 and we are down to 2.4. I could say that maybe the biggest difference -- so it’s not huge, it’s 23%. The biggest difference might be in Asia. I mean that in Asia, we had a price effect which was close to 0, 0.2 in the first half across the line, and it means minus 0.9. And as you know, it’s a quite challenging and competitive market. That’s a main elements that I could -- that I could mention. But at the same time we had a revenue increase in personal lines in Asia of 2.9%. So it’s not been at the expense of our sales. On the commercial lines, it’s pretty close because we were at 1.7% price effect in the first half and we moved to 1.6% for the first nine months, so nothing specific. So these are the main points that I can highlight on this. On your second question, yes, it’s 100% automated. And it’s -- so it’s just a beginning of what we can do and with this type of product, this is the first product, but you could imagine that going forward we could built some parametric products that -- and that could be used for retail as well. So, it’s quite an innovation because you know it’s a way directly to apply. It’s just -- it could be sold on the smartphone. So that means that it’s what we still call itemized insurance. And at the same time we are using the quite innovative blockchain technology. And the technology is a way to retake and to take prime equity because you’re right, the prices articles which goes with fizzy your immediately base.
Operator: We're now over to Nick Holmes at Society General. Please go ahead. Your line is open.
Nick Holmes: Just three quick questions. First is, with your very strong Unit-Linked growth in France, just wondered how sustainable you think this is? Then secondly, with the 6% growth in Health. Can you give us a little bit more color of how the countries and the products that are driving this own. You said a little bit about H1 Health, but a little bit more color? Third and final is the net cash loss. But you thought in Q3, wonder if you could give us a bit of color on that? I guess I’m thinking that the Mexico City earthquake mainly. Thank you very much.
Gerald Harlin: Okay. I’ll start with the -- I’ll start with your question on Unit-Linked. It has delivered 25%. I could not tell you. I think that we can expect to be at 25% forever. But nevertheless, I should highlight the fact that you remember that -- in the past presentations steady offline. I mentioned, we mentioned the fact that in France we were one of the best in the market in terms of percentage of unit link. It’s still true that in fact we’re closed to we should be at 44% something like that where the market is at 30. So we have this ability to sell much more Unit-Linked and what we’re proving in the first nine months is that it’s more accelerating than decelerating, this is excellent news. Second, we have, as I said, huge capacity with AXA IM to sell very great diversity of products. It’s not only selling Unit-Linked for sure at the same time that fact that in the past we have been selling more Unit-Linked product than the other makes, make our clients are quite happy because they benefit in an enrollment of low interest rate. This combination where they have an average say 55% of general account, 45% uniquely and exactly the end, the interest that will be credit within this year and we have this capacity, I mentioned the relative product will show selectively, we’re moving to on the market to add this capacity to sales this product. And another point that they wanted to make, we should also say that without any doubt also the flat tax in France. We don’t expect that it will have a big impact on our sales without any doubt we've been also somewhat -- we had a positive impact coming from this s flat tax with some anticipation on our clients. But I should say at the same time that we will keep big advantage of the insurance contract which is in item tax which is much more lower, which means that even if instead of being probably at 25% after this, we will be at 30% for contracts which are above one and then 50K. That is the large contract for the other contracts as in change. Really, I consider that is relatively small and we don’t expect to add negative impact to 3000 we benefited in the first nine months from such effect. So about sales revenues, in France its mostly group business. You know that we added new contracts is large with large operating in France, which explains our performance, in Germany in the result business, in that we net quite meet because we show products connectivity. So that’s what they can -- what I can tell you on health revenue. And your -- first question was about cat-nat, honestly, it's not significant. So as you know, we always take into account, pricing and product pricing including of course in Mexico, some part of cat event. So, we're well busy now -- we're half busy and what we call our attritional losses. So I know at our scale at the scale of our group due to our diversification, I don’t expect some negative impact and it's not significant.
Operator: Okay, we now over to JP Morgan and Michael Huttner. Please proceed go ahead Michael your line is open.
Michael Huttner: Three questions. The first question on the net inflows figure, I couldn’t make add up 5.1 billion and you mentioned 1.2, 1.3 minus 4.4 and the 5.1 that ends up to 3.2 not 3.2. I can understand a variance of 0.1 but it makes me thinks that some of the underlying numbers might be very close to the other side. And so I just wonder if you could some detail, which numbers were slightly plus still -- not plus but rounded? And the other thing is on the solvency, the pro forma for the bond that was refunded a few days ago, a month ago sorry. We had 200% and you mentioned the thing about management expectations. I know you can't go through all management expectations maybe that's more major, but maybe give a feeling relative to the where the markets are today? What whether there's any other variants we should be thinking about versus the expectations that you built into your model? And onwards, would it below this 200% performance under or above? And then finally on the non-Life, did -- can you give you a little bit more color, you gave us huge amount of color at the six months on where the growth was coming from in terms of contracts et cetera? And I was looking for numbers particularly in terms of the impact of Turkey and what seems to a withdrawal at the time from direct, can you say whether those trends have continued and maybe give some figures to better understand it?
Gerald Harlin: So, Michael, again I'm sorry because the line is very poor but I understood that your first question was about net flows. And net flows by mostly by geography and in -- so that means that net flows for the third -- you can take it on page 14 in the press release, so that is that I could say that in the U.S. we had a bit more, but it fluctuates, we're at minus 1 billion, in France we're transacting quite well, in Europe excluding France we move on - we're at zero, because it's linked to the point that I mentioned with the crisis in Belgium that dimension before, in Asia we've nice improvement from 1.5 billion in the first half to 2.2 billion and in Latam we're roughly flat. So that's mostly I would say is coming from countries like Belgium and also from the U.S. but you know that we've also mostly in the U.S. but it's coming from, it's coming from the VAs, and from the VAs that net outflows on the VA side, is a good news in itself, so that our packaging in the U.S. is much more today to add VAs with no guarantees and the outflows mostly coming from products with guarantee. The next is the solvency, if I well understood Michael your question, do we need something? No I believe that in the solvency as I said we have different elements but we cannot -- we give you the main parameters, just to give you and to highlight what could be the big news, but no you have always some filtration the point I didn't mention before but take the example of the volatility adjuster. If you know that the volatility adjuster could create some volatility because it's not under our own responsibility because indeed it's linked to the global market and to the asset allocation of the global market. So it could create some volatility but small volatility, we are speaking from very negligible move, but the trend is there and you can firstly all of this the sensitivity that you have they are reliable, and you can use this in order to have a good view on where our stability will be. At the same time the operating return when we say it's between 15 and 20, it's still true and I can confirm in terms it and I actually no doubt that about this. So first what I can tell you, no, you don’t think anything, but there are always some new elements, I highlighted the fact that in the operating return I repeat that in the operating return we include our management case assumptions in terms of market improvement. The third question was about non-life. Two element that they want me to highlight, Turkey, so yes in Turkey as I've said before, we have in motor this third liability price drops that it would be improve, it's quite drastic because it's a 35% decline. We have been decreasing our market share. This concerned individual and commercial matter. We have been decreasing our market share on PTL now it's 7% to 8% roughly but we take the opportunity of the market which is not so bad on the other line and these other lines being tactical for example. So in the hands, we can consider that we have a headwind for sure but we have waist of recently to compensate this and we believe that Turkey is a quite an attractive market where we are and where we have the market share, and when we want to keep this market share but being a bit more selective in our market share with any number on the price. On Direct, which your last question keep in mind that direct has been hit by Ogden, in other words, we have been among the first one to increase our pricing in order to compensate the Ogden effect because what is key for to keep our profitability. And so that has negatively impact on the top line and direct UK that's mostly that most lead and that's why on direct where we were -- that’s why on direct we are half of that zero.
Operator: Okay, we now go over to Autonomous Research and Andrew Crean. Please go ahead.
Andrew Crean: Three questions, I can. Firstly, I think there has been some European weather particularly in late September or October, I wonder if you could comment on that? Secondly, there was a quite lot of rumors in the third quarter by AXA IM, could you tell us some of your views about retaining majority control over the investment management to your in-house assets? And thirdly, there are a series of tax proposals based in France corporate tax proposals both in France and in the U.S. at the night. I wonder whether you could give us your first initial reflections on how those might impact Axa's overall tax rate?
Gerald Harlin: Okay, about European weather, I would answer what I said before so that impact it's tougher for within boundaries of our additional losses, and nothing specific and no negative impact on that side. The rumors, the remarks on AXA IM, what I can tell you Andrew is that the in the asset management business there have been a lot of discussions across the board, I will say. And this has been for us the opportunity to ask ourselves about AXA IM and we should position AXA IM and our choice is crystal clear. Taking into account the size of AXA IM, what you bring in terms of opportunities for investment, but also in terms of contribution to the earnings to the AXA group. We set our self we will stay independent. So that's quite clear, we want AXA IM to stay independent. And that fits so the thing that as we know that where they are, that's my answer I believe in scale. About the tax, I'll be let's clear about the tax because it overnight. And as you can imagine the two points because for the U.S. it's a U.S. there are positive negative. You can like they did, we particularly to tell you what's the big impact. Second about France, about France we completed different topics. And you know that yesterday we grant notes from the government in that means that this is a proposal. This proposal has now been voted by the PM and by the MPs. And it's so that impacted again it's too early to give you hint as these impact for us.
Operator: We're now over to Macquarie and Andy Hughes. Please do go ahead.
Andy Hughes: Three questions, if I could. The first one is first one is, perhaps an easy one. On the growth in French commercial non-motor, which you're saying is cross-selling. Presumably, we then continue to grow cross-selling forever. So you have a short term bump from cross selling to the existing to customers and then that product goes away. Or do you saying that's there are the structural growth areas to see that the cross selling to existing customers? Second question is as I guess I'm just trying to clear what's going on with the solvency ratio in the quarter. And I guess you're saying part of it was adverse movements in business stuff and part of it was FX. Could you maybe give us constant FX number so what it would have been in the quarter helped you loss DSOs movement? And the third question is related to that. So what don't I kick is that was just that 200% excess sales grade but it's not 200% it's actually more like 140% that is local entity. And the fact that the solvency ratio is such that is to FX. So right tells me most of the surface is not sitting in Europe. If there is any surface that actually sitting in sort of Switzerland or U.S. or places that's hard to get there. So maybe you could tell us why you think the 200% is the right ratio to look at and not the local solvency ratio. Thank you very much.
Gerald Harlin: Yes. As far as commercial motor is concerned, yes, we are progressing on the cross sell because it’s our strategy, and that, as I said, that’s the reason why we have good figures because we are at plus 3% in terms of cross-sell. Cross-sell is not -- generally speaking, is not selling motor. So the plus contract is very often a motor contract, including in commercial. That means that’s often the case to see. And then we expand it to a property and we expand it to liability. And that’s our strategy and that’s the reason why we are plus 3%. So it’s in line with what we presented one – it’s more than one year ago when we presented our plan. And the contract and we consider that we have still room for improvement on that. As far as your FX, yes, the Solvency created, I cannot give you precise output, look, yes. Speaking about what is FX. What is FX, maybe one point, two points? So I could tell you that FX impact has been roughly two points between one and two points and that gives you -- that will give you precise -- more precise idea. Sorry.
Andy Hughes: There wasn’t really continuously FX movement that worries me was the more the factor that was indicating where the surface capital was or was not?
Gerald Harlin: I’m sorry. I didn’t - again, the line is too. But I didn’t capture your question. I’m sorry for it.
Andy Hughes: Yes. No, no. My main point was FX is not at least 2 percentage points. The fact is 2 percentage points. Another huge movement in currency is what’s tells me the most of if there is any surface AXA group. It’s not -- a lot of it isn’t in euros sitting in the center. Lot of is impacted the U.S. or other regions?
Gerald Harlin: Okay. But you know we have surpluses in all the countries, even in U.S. And roughly speaking and it goes back to your second question. That means that we have surpluses in the U.S. We have surpluses in Asia. We have surpluses also in Switzerland. Don’t need Switzerland, the big move in the Switzerland because we moved on roughly 104 to 116. So it’s a significant move. And you know that Switzerland is a strong contributor to earnings, but also to the shareholders vacancy. So, that’s mostly we had -- we had over this period a very, very strong move in terms of -- in term of equities see at the end of December. As you know we had a recovery of – a slight recovery of the U.S. dollar, but that’s mainly coming from these guarantees. About your question, I believe that we should not make confuse the 200% is an average consolidated number. So we cannot compare the consolidated number with solo. That means that if on the solo basis – if on the solo basis we are at 140 -- between 130% and 150% depending on the different entities, where is it coming from? It’s only because it’s our interest. It’s pure interest, the interest of shareholders, to have the maximum cash, which is remitted to the holding company. In other words, the 200% is a real 50% is the real consolidations to give we achieve I would say which reflects the solvency and this solvency of our group and our best capitalize best capitalize company compared to our PL and when you ever look at the sole company and what we described to do and we been very clear on the strategy that we own, that means that we want to protect ourselves against 120 of stock, that was not equivalently but much more as between 130 and 150 and for that is upstream to that happen, that’s the way, so it's not a the 200% correspond to a really indication, consolidating AFR of the group.
Andy Hughes: No -- I understand what you're saying but the reason I can't, that the square is why, if the surplus capital is up the group, where the surplus capital so sensitive to FX?
Gerald Harlin: It is sensitive to FX because you know that we have only, okay let's move to the hedging. We have a hedging strategy at the group level, but this emerging strategy -- we don’t hedge 100% of our AFR in the no-euro countries. We hedge roughly speaking 30%, which means that so long that's 50% hedge which is quite significant, so that most lead.
Operator: Okay before we go on to Andrew Sinclair of Bank of America Merrill Lynch [Operator Instructions]. Andrew, it's you.
Andrew Sinclair: I am just going to ask two questions, if that’s okay. Firstly, is on Turkey, I know you've given us quite a lot detail here, but wonder, if I needed to expect Turkey through to be settling down to new normal position after the recent events feed through? And secondly, you mentioned briefly U.S. DOL deal impact. I was just wonder if you could give us an update on for this distributor activity has been like in recent after the most recent management the summer? Thanks.
Gerald Harlin: About Turkey, want I can tell you is that, yes, it's benefit. You remember that we had problems in the past due to the bodily injury and the fact that, that almost 80% of our 75% partly of our policy holders who had been subject to bodily injury were suing us. We recapitalized and we increased our reserve in the pat and this is something we achieve, I would say behind this. I hope that we become almost sure that it's behind this. And the developments are quite in line with what we expected to see, so this fine. This is new event, this is new event but at the same time I should tell you that, roughly speaking, we have opportunity to increase the pricing by 1% of that which means that in the end it's minus 35% that I flag in line production. I think that this drop in TPL pricing, means that we're 35% below our initial price. Nevertheless it's not forever. So the combination of the fact that we decreased our market share that at the same time we're increasing our market share in Kasko where we have a nice profitability makes me comfortable in our capacity to have good return in the future. At the same time you should keep in mind that this is a bad news for Turkey, but keep in mind at the same time that interest rates are 8%, which means that the 8% is quite slow in terms of returns. So compared with the other countries where you can see obviously today, the investment returns, the investment income is small compared with the technical profitability. Here, it's much more balance. So all these reasons makes that we are quite positive in the long run on Turkey. U.S. dollars, as far as the U.S. dollars is concerned, I would say that it's -- we went through the Phase 1 which means that Phase 1 of the rule went into effect in June this year, and the Phase 2 implementation has been postponed so it will come into force only in July 2019, so it's not immediate, so we -- that means that our advisors can go on selling variable and indexed annuities with commission rather than switching to a pure fee-based model. So, I could say that like the rest of the market we had slight decline in our production and that's something that we already announced. And we said that the rule would have some negative impact on sales in the near to medium term and there's no change on that side, and it's in line with the guidance that we gave you about the impact, that's what I can tell you now.
Operator: Okay we have a brace of questions in the queue. The first one is back to the line of Michael Huttner at JP Morgan. Please go ahead.
Michael Huttner: Just wondered if you could talk a bit about the revenues and the numbers for the asset management, the 5% rise in average assets, the 7% rise in revenues. And maybe you could make a slight distinction between the trends in AXA IM and [indiscernible] just to get a feel for where the particular strength is?
Gerald Harlin: Yes, I believe that what I can tell you is that compare -- if I compare what it is in the first half with the nine months, and if I focus Michael on the third quarter which is I believe your question. So, in the third quarter, for both entities we had positive inflows, so that means that in H1, AB was at four, excluding the JV and it takes to eight, four plus four, AXA IM went from plus one to plus three, plus 2 billion, so, and we compare that for AXA IM it's mostly on the institutional side. And we could say that for AB we have a positive on the retail, we are quite good on the retail side, which explains why in the end in terms of revenues where AXM IM is close 4, AB is at 8 because we have the combination of these net flows, market application plus the mix which slightly import, used to which in flows coming on the retail side. It clearly a good news and I could say that AB is doing extremely well and [indiscernible] is at top highs went up we are about 26, which reflects mostly performance. And the because of both I could say that our asset management in our group is doing extremely well.
Operator: Okay, our final question in the queue is over to the line of Pierre Chedeville at Credit Mutuel CIC. Please go ahead, sir. Your line is open.
Pierre Chedeville: Yes. Just a quick question left. Recently, BNP has announced the IPO of a general insurer in India in the insurance business with SBI Life, with a P/E of 70, which is a very high level. And in that context, BNP added very significant capital gain. And I was wondering. Is this kind of reflection regarding your joint ventures in Asia? It could be a good idea to just to have a capital gains and to fully appreciate some of the part valuation of this both to AXA. And just to conclude, BNP only gave a small amount of capital, which is 4%. So it did not disinvest in India. This is just externally arising value. What is your view on that operation and on your own case because you have many joint ventures in Asia? Thank you very much.
Gerald Harlin: What I could say is that first it's time line to the fact that which JV has the lot of value. We have we've mentioned in job as we have the lot of JVs in Indonesia, in Thailand. Keep in mind that as far as India is concerned, the SBI cap has been lifted, which is a quite presently moved to 49%. At the same time, I could say that compared with SBI that you mentioned, we are a less mature entity staring later. So that in that this growing company, but it's not a stage where we could face that we get the best of it and it's high time to IPOs in this company, we are not there yet. Quite hopeful, we have the good partnership with Barclays, with the Barclays group in both life and non-life. And we want to develop it, so at some time and we are confident that we will develop it within the next year and the last year we've didn’t see.
Operator: As that was the ultimate question on today's call and I please pass it back to you for any closing comments at this stage.
Thomas Buberl: Okay, so thank you very much. So as you know we have -- we leave yet quite soon because we have an IR Day the 14 November, and I'll be pleased to see you on that date.
Operator: This now concludes today's call. So thank you all very much for attending. And you can now disconnect your lines.